Operator: Good afternoon. My name is Bridget and I’ll be your conference operator today. I’d like to welcome everyone to the SS&C Technologies First Quarter 2014 Conference Call. At this time all participants are in a listen only mode. Later we’ll conduct a question-and-answer session. We will be taking questions in the order we receive them. Please note that this conference is being recorded and will be made available on SS&C’s website, www.ssctech.com. I’d now like to turn the call over to Justine Stone, Investor Relations Coordinator. Ms. Stone, you may begin your conference.
Justine Stone - Investor Relations Coordinator: Welcome and thank you for joining us for our Q1, 2014 earnings call. I am Justine Stone, Investor Relations Coordinator for SS&C. With me today is Bill Stone, Chairman and Chief Executive Officer; Norm Boulanger, President and Chief Operating Officer; Rahul Kanwar, Senior Vice President and Managing Director of Alternative Assets; and Patrick Pedonti, Chief Financial Officer. Before we get started we need to review the Safe Harbor statement. Please note that various remarks we make today about future expectations, plans and prospects, including the financial outlook we provide, constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K, which is on file with the SEC and can also be accessed on our website. These forward-looking statements represent our expectations only as of today, May 1, 2014. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. During today’s call we will be referring to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to comparable GAAP financial measures is included in today’s earnings release, which is located in the Investor Relations section of our website at www.ssctech.com. I’ll now turn the call over to Bill.
Bill Stone - Chairman and Chief Executive Officer: Bridget, are you on?
Operator: Yes, I assure, I am. (Operator Instructions).
Bill Stone - Chairman and Chief Executive Officer: Bridget. We lost Justine.
Justine Stone - Investor Relations Coordinator: Yes.
Operator: You did, okay. Hold on for me for just one moment.
Unidentified Company Speaker: Hey Bill we can hear you.
Bill Stone - Chairman and Chief Executive Officer: Well okay. Why don’t I just go ahead then? I think Justine was very good at probably referring to certain non-GAAP financial measures, a reconciliation of these non-GAAP financial measures, comparable GAAP financial measures, is included in today’s earnings release which is located in the Investor Relations section of our website at www.sstech.com. And she will turn over to me, so now it’s me. And now I thank you for that Justine and well actually welcome everybody. We’re pleased to report Q1 revenue grew to $185.8 million, an increase of 7.3%. As you can tell we continue to perform. Now we believe we’ll continue to perform because we deliver machine-critical solutions on a worldwide basis in our quality and our breadth revenue. We also continue to generate impressive amount of cash. We paid $45 million in debt this quarter and we have paid down $420 million in debt since the acquisition of GlobeOp in June of 2012. We’ve also spend a lot of money on our development organization and we expect to roll-out new products and new services in the next couple of quarters. Now the financial technology space is crowded as is the fund administration business. SS&C possesses the workforce technology and discipline to be the long-term winner. Even as we ramp-up our salesforce and with our sales and marketing expense up 25.7% this quarter, we were able to increase our adjusted operating margin from 37.4% to 39.1%, a increase of 170 basis points. I look forward to continued progress in 2014 on all fronts and we’re confident we’re on the right track with our strategies for cloud-based and mobility enabled technology and services. We’ve also had a number of key signings in the first quarter of 2014. Finally, we’re hosting our Investment Intelligence client summit in Orlando, Florida next week. We plan on showcasing our latest innovations in technology including mobility, voice recognition and reporting portal. With that I’ll turn it over to Norm.
Norm Boulanger - President and Chief Operating Officer: Thanks, Bill. We’re pleased with our strong results in Q1 and the momentum we see in our business overall. Our institutional business had its best quarter in three years. We signed a number of strategic deals in our software-enabled services business for our REIT, Global Wealth Platform, and Alternative Services. We continue to invest in our team and technology to drive and support our growth objectives. We believe expertise is a key differentiator. We’re focused on ensuring we have the strongest subject matter excellence in sales, services, development and IT infrastructure in order to sell and service our customers. At the same time we’re focused and disciplined on driving margins in our business. Our recent and past success with real estate investment trust customers led us to establish our REIT servicing group. We believe we have the best technology and service experts in this space and are creating a dedicated group that will allow us to accelerate our growth. The new servicing group is focused on the expanding areas of residential mortgage-backed securities, commercial mortgage-backed securities, and equity-linked real estate. We also had a number of new solution and leases in the quarter, among them the latest versions of CAMRA called CAMRA Workspace, Total Return and Lightning. In Q1 we moved, operated and expanded our offices in Evansville, Indiana. We also expanded and consolidated our office space in our Windsor headquarters which continues to be a hub of various strategic groups. We’re also leasing new office space in Boston and Dublin which will allow us to consolidate multiple office locations. In Q1 we signed a number of deals across the business. Contract with Virtus Investment Partners to provide middle and back-office services for separately managed institutional and closed-end fund assets utilizing our Global Wealth Platform. Two publicly traded REITs totaling approximately $80 million in assets, selected SS&C for our REIT technology and related REIT expertise. An international financial service firm licensed our Loan Origination and Servicing Platform support its $13 billion global commercial lending business. $26 billion asset manager chose SS&C for its performance and reporting solution. A large Canadian bank extended its license for us as its portfolio common platform, an alternative investment manager and existing SS&C GlobeOp our customer chose our front-office solution to provide the front-to-back integrated solution from SS&C. Concurrent SS&C customers added our fixed connectivity services. A venture capital firm selected SS&C such front-office platform, and a Taiwan-based life insurance company chose SS&C for its insurance investment accounting platform. And with that, I’ll turn it over to Rahul.
Rahul Kanwar - Senior Vice President and Managing Director, Alternative Assets: Thanks, Norm. We had a strong start to 2014. Our Alternative Asset revenue increased 9.5% the same period in 2013. This growth came from both new clients and increased sales to the existing customers. For exampled we increased sales of GoTrade+ which offers our customers an outsource solution for their middle office operations. This includes functions such as collateral management, reconciliation, price verification and settlement for bank loans and derivatives. We think our potential market for such functions includes banks, insurance companies and corporations that use derivatives. We continue to invest both in the product set and the salesforce. California remains an attractive area of growth for us and is well represented in our deal pipeline. Our Los Angeles office and our ability to service West Coast business hours helps us attract new prospects. We’re already seeing some results. This quarter we were selected by a $5 billion plus private equity fund to outsource some of their funds, a relationship that we think will expand over time. Other key deals signed during the quarter were, a credit manager selected SS&C for our fund administration and performance measurement and attribution, three alternative investment managers expanded their relationship for administration of several new funds, the long/short equity fund converted to SS&C because it required a top tier fund administrator to satisfy potential investors. A current hedge fund customer turned to SS&C for its private equity fund administration requirements. We remain focused on customer satisfaction and this quarter instituted a customer monitoring program for engaging with our clients and acting on their feedback. Programs like this bring us closer to our clients help us target development to meet their needs and boost our cross-sell efforts. Now I’ll turn it over to Patrick.
Patrick Pedonti - Chief Financial Officer: Thanks, Rahul. Results for the fourth quarter where revenue of $185.8 million, GAAP net income was $26.4 million, and GAAP diluted EPS was $0.30. Revenue increased $12.5 million or 7% of our Q1, 2013. Strong license revenue from CAMRA and LMS products and year-over-year 6% growth in our software-enabled services drove the growth in the quarter. Foreign exchange had a negative impact on revenue of approximately $1 million compared to Q1, 2013. Adjusted operating income in the first quarter was $72.6 million, an increase of $7.9 million or 12% from the first quarter of 2013. Operating margin increased to 39.1% from 37.4% of revenue in Q1, 2013. We continue to make significant progress on implementing GlobeOp and PORTIA acquisition cost synergies and currently expect to generate approximately $21 million of savings for the full year 2014. In addition our operating margins improved significantly in our fund administration and institutional products businesses. Adjusted consolidated EBITDA was $76.2 million or 41% of adjusted revenue. This was an improvement of 11% or $7.5 million compared to Q1, 2013. Net interest expense for the fourth quarter was $7.1 million and includes $1.5 million of non-cash amortized financing cost and OID. Interest expense decreased to the $239 million of debt pay-down since the first quarter of 2013 and the 2013 credit facility repricing reduced our weighted average interest cost from 4.4% to 3.0%. We recorded a GAAP tax provision for the quarter of $12.8 million or 33% of pre-tax income. In the first quarter we reported our non-cash charge of $2.4 million to adjust our deferred tax liabilities for tax changes enacted in New York State. Excluding this one-time item our tax rate was 27% in the quarter. Adjusted net income was $48.3 million and adjusted diluted EPS was $0.56. Adjusted net income excludes $21.3 million of amortization of intangible assets, $3 million of stock-based compensation, $1.5 million of non-cash debt issuance cost, and $2 million of unusual expenses mostly related to FX losses and legal expenses for an IP infringement lawsuit we filed in the first quarter. And the effective tax rate we used for adjusted income was 28%. Our balance sheet and cash flow as of March 31 we had $78.4 million in cash and $737 million of growth debt for a net debt position of approximately $658 million. We had strong operating cash flow in the first quarter; operating cash flow was $38.6 million, a $17.9 million increase over Q1, 2013. Cash flow was driven by improved earnings, lower cash tax payments, and improved accounts receivable DSO. For the quarter we paid down $45 million in debt that brings the total to $420 million since the GlobeOp acquisition. We purchased approximately 90,000 shares of SS&C’s stock in the first quarter for a total of $3.5 million. We used $3.6 million for capital expenditures and capitalized software at 1.9% of revenue. We paid $6.2 million in cash taxes compared to $9.8 million in the first quarter of 2013. Our accounts receivable DSO as of March was 42.5 days and that compares to 45 days as of December 2013. And in financing activities we recorded the proceeds from option exercise of $4 million and tax benefit related to the option exercise of $2.5 million. Our LTM EBITDA that we use for covenant compliances was approximately $299 million as of March and based on our net debt our leverage ratio was 2.2 times. For outlook for the second quarter of 2014 our current expectation is revenue in the range of $186.5 million to $190 million. Adjusted net income of $48.5 million to $50.4 million and diluted shares in the range of 87.2 to 87.5. For the year our current expectation for the full year is revenue in the range of $757 million to $775 million that represents a growth of 6.2% to 8.7% over 2013. Adjusted net income of $197.5 million to $206.8 million and outstanding diluted shares increasing approximately 3% compared to 2013 to a range of $87.7 million to $88.2 million. And we expect our effective tax rate will be approximately 28% for the full year excluding any extraordinary items. For the full year we expect cash from operating activities to be in the range of $220 million to $230 million and capital expenditures to be in the range of 2.3% to 2.8% of revenues. Our current plan is to use our excess cash flow to fund potential acquisitions, buyback shares in the open market and pay-down debt. And I’ll turn it over to Bill for final comments.
Bill Stone - Chairman and Chief Executive Officer: Thanks, Patrick. Looking at 2014 and beyond we feel pretty optimistic about our future. For the year 2014 as Patrick said we’re guiding revenue between $757 million to $775 million. I’d also like, take a minute to invite all of you to our first Analyst Day that we’ve had that will be June 3 in New York City. If you’re interested in registering please contact justine.stone@sscinc.com and we’ll be sending an invitation shortly after today’s call. Please take a minute to register via the link. I’ll now open the lines up for questions. Bridget?
Operator: Thank you. (Operator Instructions). Our first question is from Bryan Keane with Deutsche Bank. Your line is open.
Ashish Sabadra - Deutsche Bank: Hi, this is Ashish Sabadra calling on behalf of Bryan Keane. Quick question on the license revenue and the professional services. Those were pretty solid in the quarter. I was wondering if you could just give some more color what’s driving the strength there and the sustainability of the growth in both of those segments? Thanks.
Bill Stone: Yes, I think that I’ll start off. First for the professional services I think first quarter of 2013 was a tad weak, right. So you’re seeing an approximate 40% increase in revenue. I would say that actually it’s probably closer to 15% to 20% increase because of the weakness in 2013. So we have done a number of large projects in Q1 and we have a number of them wind up for the rest of the year. So I would imagine that professional services will be pretty strong in 2014. As far as licenses are concerned we did several pretty good size licenses this quarter. LMS had a great quarter for instance. And I think people have waited long time to get new technology and in some spots there spending money to get it.
Norm Boulanger: Just a couple of things I’ll answer that is on the professional services one of the things we’ve been focused on for the last years is making sure we support our clients and looking at their entire operations and that’s resonating and we’ve done a lot of consultant businesses that help re-engineer people’s back-office organization. So I think that will continue and will support professional service line going forward. And the last thing to contribute on license we’ll talk about some of the sales it’s really the persistence. Some of these sales we’ve been working for a long time. So, some of the larger sales we won this quarter for example we had three sales one that took us two years, one 18 months, one 15 months. So staying on those sales allowing clients to take the time they need to make a decision, some of that came to fruition this quarter. So we feel pretty good about that. And then just the overall trend on our mortgage-backed (indiscernible) mortgage loan space and the real state investment trust space. There’s really a lot of opportunity, lot of these coming in have supported Q1 and I think will support going forward.
Ashish Sabadra - Deutsche Bank: Okay. That’s great, that’s great. Just - thanks for that color on the REIT servicing business. I was wondering if you could help us size the opportunity for REIT servicing? How big is an opportunity that you believe for SS&C and the growth profile there?
Bill Stone: The REIT’s business I think it’s something like 40 public mortgage REITs and there is also probably a similar number of equity REITs and that’s primarily U.S. based, there is also a number of similar type organizations out of Canada. We currently are running at a multi million dollar run rate basis probably right around high single digits and my guess is that markets probably $100 million.
Ashish Sabadra - Deutsche Bank: Okay. That’s great, that’s great. One quick one on the regulatory front. On the third call, you had highlighted that you’ve signed up over 100 clients for Form PF, FATCA, CPO-PQR, and 13F filing. So, just as we look at the regulatory environment and the regulatory services in particular, I was wondering if you could just provide some update on that front, the success that you’ve had in signing up new clients and the revenue potential there?
Bill Stone: It continues to grow. We have on the way through 100 clients and it continued to be a very attractive area for our clients to outsource to what. That’s probably twice as big as business as our REIT’s business is right now and my guess is that you’re looking at regulatory services probably $0.5 billion of source as far as the market is concerned.
Ashish Sabadra - Deutsche Bank: Okay, that’s great. And one final question from me on the alternative business. I was just wondering if you can also give the AUM – you provided the growth for that business, the AUM at the end of the first quarter?
Patrick Pedonti: That’s not published that yet.
Bill Stone: I don’t think.
Patrick Pedonti: Yes.
Bill Stone: That’s been published yet. So I think that at the end of the fourth quarter was I think was $566 billion.
Ashish Sabadra - Deutsche Bank: Okay. Actually, one final question for Patrick. Patrick, you highlighted that the margins increased in the fund administration and the institutional product business. If you could just highlight the drivers there? Is it related to the GlobeOp synergies or are there other drivers that’s driving margin improvement? Thanks.
Patrick Pedonti: Yes I think it’s not only the GlobeOp business. The GlobeOp business, the invested gross margins continue to improve in the first quarter but also we’re getting improvement in our core alternative asset business also. So it’s the whole alternative asset business including GlobeOp is improving.
Bill Stone: And we don’t have some outlook with the current view in Indian currency.
Patrick Pedonti: Our costs are down a little bit due to the Indian currency.
Bill Stone: Yes, it will be.
Patrick Pedonti: Yes, it will be compared to Q1, 2013.
Ashish Sabadra - Deutsche Bank: Okay, that’s great. Thank you. Thanks.
Operator: Thank you. (Operator Instructions). Our next question is from Rohit Sahni with Harbor Spring. Your line is open.
Rohit Sahni - Harbor Spring: Hey guys, congrats on a great quarter. Two really quick questions. Obviously, you guys continue to show improvement in margins which is impressive. Do you think that there’s a potential for that trend to continue as we approach later this year and early parts of next year? And then secondly I know you’ve instituted the share buyback program and you’ve done a great job of levering down with a net debt around a little over two times. Is it possible once you get to a comfortable leverage ratio we’ll see more cash deployment towards share buybacks and/or M&A?
Bill Stone: Well Rohit thanks for the nice comments. We’ve always looked at M&A is being the first use of our cash. We get more highly levered than we are probably not as for voracious on acquisitions but right now we’re looking and looking hard but we’re very disciplined, right. And we’re not overpaying. We can drive our business and drive margins and we think will drive margins over the next several years. And so I think that we’re very confident in that. We believe that we have some great solutions coming out. We’ve got a great workforce and I think our ability to drive those margins are going to be tied to our focus and that’s been also to continuing to innovate which I think we’ve done a pretty good job with.
Rohit Sahni - Harbor Spring: Got it. And then with respect to customer wins, I think one thing you guys are doing well is you’re continuing to win customers not just in your core alternatives business but in a variety of sectors whether it’s insurance or real estate etcetera. Do we expect to see that to continue? And over the next year or two should we see the mix weighting of new wins towards a certain sector versus another or is it going to be fairly balanced?
Bill Stone: Right, it’s interesting. We really started the fund administration business in 2002 and we started the company in 1986. So we would have thought that for a while insurance was our core business and then asset management. We bought OMR and banks became a very core part of our business. When we bought FMC in 2005 asset managers were a very strong part of business, PORTIA have 200 very well-known asset managers almost 10 trillion in assets on their’s. So I think what we have as a very strong business model it’s solutions and services across all asset managers, alternatives, insurance, bank, pension, institutional asset managers, RIAs. So there is a very robust set of technology and a very strong workforce to be able to do software-as-a-service as well as cell technology on a per-drink basis or on a professional license fee.
Rohit Sahni - Harbor Spring: Great. Thanks, Bill. Good job.
Operator: Thank you. (Operator Instructions). I am not showing any questions at this time. Please proceed with any further remarks.
Bill Stone - Chairman and Chief Executive Officer: Well, we appreciate everyone being on the call today. And we will look forward to seeing you in another 90 days. Thank you.
Operator: Thank you. And ladies and gentlemen thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone have a great day.